Operator: Thank you for standing by, and welcome to the Syrah Resources Limited Q3 Quarterly Results Update Call. All participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to Mr. Shaun Verner, Managing Director and CEO. Please go ahead.
Shaun Verner: Thank you. Good morning, and thanks to everyone for joining the call today. With me on the call are Stephen Wells, our Chief Financial Officer; and Viren Hira, our GM of Investor Relations and Business Development. Natural graphite market conditions in the year-to-date have underperformed the trajectory of electric vehicle sales globally. In contrast to the short-term situation, however, increasing regional demand and the imperative to create secure supply chains for critical minerals, including in graphite and battery anode materials has continued unabated. Recent market conditions in China, resulting in the need for dynamic operating responses have been challenging, but we're focused on making the best of the short-term situation, and readying to benefit from the extraordinary opportunities that Syrah has ahead, considering the forecast growth in demand for our products, highly supportive changes in the way the global supply chain for critical minerals will operate in the future. A unique market and asset position outside China and the strong support we have from customers, government and other stakeholders to grow our business, maintaining independence and investment in progress now positions the Company for the inevitable demand growth for our products, particularly in ex-China markets and it's key to profitability, shareholder value growth and share price returns. Key points to highlight in the September 2023 quarter. The implementation of all measures identified for the revised Balama operating note outlined last quarter full operational implementation of our significant solar and battery system, which will supply 35% of power requirements at Balama, navigation of market conditions to an improved demand picture and the resumption of purchasing volumes from China. Implementation of our medium-term natural graphite sales diversification strategy, capitalizing on the emergence of ex-China anode material projects, strong progression with the development of current and future anode material production capacity at Vidalia with the planned start of production of the 11,000 ton facility in Q4. Progress in pre-FID activities for further expansion and increasing commercial tension for more significant and supply from Vidalia, and ensuring the capability to work through the uncertain market conditions and result in operational and project requirements through building our funding optionality. I acknowledge both the volatility of this journey and the commitment required from our investors, our team and our stakeholders. That commitment is being rewarded with a uniquely differentiated asset position, long life and growth optionality and a market position which after the pain of development, we believe, will provide years of competitive advantage. Today, we'll cover three key areas and use the presentation we released along with the quarterly report. Firstly, we'll look at the concrete deliverables that demonstrate what Syrah is achieving and how that sets us well apart from other current and emerging suppliers. We'll look at third quarter performance, focusing on market conditions, Balama operating performance progress in the expansion of Vidalia and Syrah's financial position and look at the outlook for the Company. We'll start today on Slide 7 of the presentation pack. Given the point of progression of the Company and the challenges experienced over the past two years, market focus has been on short-term conditions, funding and cash flow, and that's understandable. But it's incumbent on us to continue to shine a light on the fundamentally differentiated position Syrah occupies and the work that has been completed to date and that which remains underway, demonstrating a completely different upstream scale, downstream integration and ESG commitment than the bulk of the industry. And this slide highlights concrete progress and major milestones that Syrah has achieved the provider platform for us far ahead of all other non-China integrated production capacity in the anode market. We're weeks away from becoming the first and only vertically integrated natural graphite anode producer outside China, underpinned by our Balama asset, our long-term and expandable offtake with Tesla and deep customer engagement with other major players such as LG, Ford, SK and Samsung under MOUs for further development. We've supplied almost 0.5 million tons of high-grade natural graphite into the global supply chain over recent years with unhighlighted penetration into many key battery suppliers product lines. We've implemented a major solar and battery system upstream at Balama, which further increases our leading audited LCA position on global warming potential against competing Chinese products where we are materially lower impact on emissions than both Chinese benchmarks natural and synthetic graphite producers. We continue to invest strongly in Vidalia's to deliver an environmentally differentiated and material production capacity with strong expansion capability. And we built Balama and Vidalia's operations with a commitment to best practice ESG framework, such as the ICMM mining principles and global standard for tailing storage management, the initiative for responsible mining assurance and UN Global Reporting Initiatives and sustainable development goals, and they are things that other anode material producers simply do not do. We've achieved debt strategic funding support from the U.S. Department of Energy for Vidalia and a developing one with the Development Finance Corporation for Balama that demonstrates the critical minerals position of our operations. We've set up both operations to be cost competitive and are pursuing with absolute focus the need to generate greater cash flow for the business. At the same time, we've invested heavily in developing an integrated business that will benefit from long-term unique market access and pricing differentiation as the demand fundamentals aligned with supply. Ultimately, we believe that further pricing differentials will be evident in a bifurcated market that must reward those suppliers investing in high-quality, responsible operations, lower emissions intensity and positive stakeholder benefit across the supply chain. Assurance on these fronts takes years and as customers and governments choose higher standards in the future, the investments that we've made already will pay dividends. Turning to third quarter market conditions on Slides 8 and 9 of today's presentation, Chinese natural graphite demand conditions remained weak through the first half of the third quarter, due to consumption of anode material inventory, aggressive production volumes with price discounting from synthetic graphite anode suppliers in China and domestic natural graphite production volumes. However, natural graphite market in China improved in the latter half of the quarter, with increased demand ahead of the winter period of lower Chinese natural graphite production, and with spherical graphite processes and natural graphite anode producers increasing production capacity utilization as orders from lithium-ion battery cell producers improved. Downstream leading indicators for natural graphite are positive. Global EV sales grew 18% in Q3 from Q2 and were up 41% year-on-year to approximately 4.1 million units. Stronger EV sales and higher production of lithium-ion battery cells after a significant reduction in cell inventories are indicators of reinvigorate consumption of anode materials. Overall, anode production increased 30% in Q3 sequentially from Q2 and 37% year-on-year as orders from cell producers started to recover. Anode production growth is still lagging EV sales growth, illustrating that downstream inventory consumption continues. As shown in Chinese and production data, synthetic graphite anode production capacity growth in China, which represents the majority of overall anode our production growth over the past year, has been significant. Aggressive pricing has caused intense competition amongst new and incumbent synthetic graphite anode producers. This has in turn driven significant utilization of higher sulfur input materials and shortened graphitization processing cycle times, which facilitate a decrease in price but also produced lower quality and lower performance synthetic graphite anode products. Whilst there's pricing pressure in the Chinese anode market caused by aggressive market penetration behavior from synthetic graphite producers, our view remains, this is unsustainable. With pricing well below cost, the many per much of the production capacity. Even the major Chinese anode producers are experiencing significant margin pressure. Substitution is most prevalent in the Chinese domestic battery market rather than the ex-China export markets. The current convergence of prices for low-end synthetic graphite anode and natural graphite anode appears to be unsustainable, and any increase in costs of power, graphitization, which is up off its recent lows or coke materials is expected to immediately drive higher synthetic graphite anode prices. Syrah expects that underutilization of expanded synthetic graphite anode capacity and loss-making prices caused by intense competition will inevitably lead to some consolidation of marginal synthetic graphite capacity which will ultimately support higher pricing for both synthetic graphite and natural graphite anode materials. Domestic natural production in China increased seasonally through the quarter, with reported natural graphite prices in China falling by 20% to 30% since the beginning of 2023. However, increased demand has resulted in pricing moving off the lows later in the quarter. Benchmark Mineral Intelligence reports that domestic natural graphite producers are under cost pressure from a combination of lower grade ores for recoveries and other factors requiring prices to rise for them to be profitable. Increased sales from previously warehouse stock in forthcoming domestic winter production shutdowns are expected to improve the supply-demand position in Syrah's favor. Cost exceeding price at several points across the anode supply chain, increased demand driven by higher EV sales will require higher prices to incentivize increased production with higher natural graphite supply required for ex-China sources. Irrespective of current pricing differentials, the ESG profile of artificial graphite production remains deeply challenging given the power usage and emissions intensity from the high temperature long-duration process of graphitizing petroleum and coal-based cokes. So whilst conditions in the Chinese anode market have been challenging for Syrah, there are indicators of strengthening in the near term. EV sales growth has continued this quarter and expectations for Q4 are positive. Battery cell demand and capacity utilization is increasing. Anode production, while still growing strongly, is at a slower pace than EV sales growth, so downstream inventory positions are being cleared spherical graphite capacity utilization is increasing and natural graphite demand is coming through. And whilst excess production capacity intensive price-based competition and lower input costs have seen natural graphite in synthetic graphite anode prices converge, resulting in some cost base switching. The prevailing synthetic price does not appear to be sustainable with graphitization and other production costs seeming to have bottomed, which will lead to demand and pricing support for natural graphite anode materials. These items should assist in rebalancing the market and the longer-term opportunities for natural graphite and Syrah are even more positive. Overall, EV demand growth continues and anode inventory will continue to clear. September 2023, global EV sales were about 1.5 million units, a monthly record. Chinese natural graphite anode capacity growth and utilization are increasing, and they require natural graphite feed. The number of new Chinese natural graphite anode projects will enter production this year and into 2024. And the U.S. Inflation Reduction Act and the EU policy directives mean that ex-China anode producers are accelerating plans to build capacity offshore. In Korea, the U.S., India, Europe and Indonesia, and that all requires ex-China third-party natural graphite feed, where Balama is currently the only major option. Chinese mine capacity growth has been minimal and grade and cost pressures are challenging. And finally, ESG implications as well as technical characteristics, customer preferences and lower costs of production through the cycle mean significant volumes of natural graphite will be required in both China and the ex-China markets. The implications for Syrah today that the Company will continue to focus on immediate natural graphite sales from inventory and new production were warranted, managing Balama production campaigns to achieve the lowest possible cost at the relevant demand levels, producing to support the minimum average 10,000 tons per month sales each quarter. We will continue to be clear with customers on the prices required for higher supply of our products, considering operating costs, and we'll be highly focused on developing natural graphite sales into new customers outside of China to achieve our sales diversification targets and drive our anode marketing strategy in the U.S. to gain value from our differentiated production position. I'll hand over to Steve now to provide some comments on Balama's operational and cost performance, and we'll move to Slide 13 and 14. Steve?
Stephen Wells: Thanks, Shaun. As Shaun mentioned through the quarter, Syrah implemented all measures identified for the revised Balama operating mode outlined in the presentation last quarter. Significantly lower sales to Chinese anode customers and inventory positions in Mozambique and offshore led to the ongoing pause in production from Balama extending from May and June in Q2 to July and most of August into Q3 before production resumed at the end of August. This decision was made to allow for downstream inventory consumption to occur and natural graphite demand conditions to improve. The plant has operated through a relatively uninterrupted 32-day campaign from late August through September to produce 18,000 tons of natural graphite during the quarter. And the production campaign continued into October 2023 to increase finished product inventory positions given improved marketing conditions. Stable operation performance at Balama was reached within two weeks of production resumption after a four-month shutdown and product recovery and quality improved through the campaign with uninterrupted production and greater stability in processing operations. In future campaigns with shorter shutdown periods, we expect that stability can be achieved in Balama operations more quickly than two weeks. In the last two weeks of the quarter, Balama achieved on average a 20,000 ton per month daily production run rate and 82% recovery. And strong operational performance continued into October. C1 costs were US$484 per ton in September's operational period, despite the impact of lower than targeted production to that 20,000 ton level, lower than targeted recovery and higher diesel costs and trended towards cost guidance during operating periods in the revised operating mode. These unit costs again demonstrates what Balama can do in operating at its intended capacity and a sustainable cost position. C1 fixed cost for the shutdown period were approximately $4 million per month on average, which matched cost guidance and with further variable mining and production logistics costs of approximately $1 million per month in preparation for production campaign and for only owned product sales. The Mozambique wholesale diesel price set by the government, decreased by 17% over the quarter, although that is still above the long-term average. We will continue to operate Balama in campaign operating mode in the December quarter, with further 30-day high-capacity utilization production campaigns followed by curtailment period determined by inventory levels and new sales demand. Further production campaigns will be dependent on sales from inventory and new sales orders at production volumes averaging at least $10,000 per month over the quarter. And if improved demand is sustained, the Company expects to undertake 120,000 ton production campaign in Q4 while ensuring also that we can return to higher capacity utilization of Balama quickly should natural graphite demand increase further. During the quarter, Syrah commenced full operations of the 11.25-megawatt solar array, an 8.5-megawatt battery energy storage system at Balama. The entire solar array, incorporating over 20,000 solar modules with a surface area of approximately 5.4 hectares is fully integrated to the Battery Edge Storage System. And the array operated and generated power to its intended to design capacity and profile over duration to achieve full operations. The Balama Solar Battery System is one of the largest installed in a mine in Africa, and we'll supply 35% of average site power requirements significantly reducing diesel consumption and greenhouse gas emissions at Balama and yielding associated cost savings, which are incorporated into our cost guidance. Syrah is progressing the evaluation of options to further optimize Balama's power generation to reduce operating costs, further lower greenhouse gas emissions of Balama products and ensure reliable power supply with high capacity plant utilization. Otherwise, at Balama during the last quarter, Syrah continued its high performance in sustainability activities as noted in our quarterly sustainability report, which is also released on our website today. The security environment across Cabo Delgado remained stable with major LNG projects in the province potentially being restarted later this year. And I'll now pass it back to Shaun to talk through Balama sales and marketing and also progress at Vidalia.
Shaun Verner: Thanks, Steve. Moving to sales and marketing on Slide 16. Natural graphite sales for third-party customers for the quarter were 23,000 tons. Sales increased from the June quarter. with increased sales to Chinese anode customers as anode inventory rebalance in spherical graphite producers increased their capacity utilization. Coarse flake demand remained strong, but given available inventory in campaign production, Syrah's prioritized find sales into increased anode material demand. Low demand into Chinese anode customers in the first half of the quarter limited overall natural graphite sales during the quarter; however, increased sales from inventory in breakbulk and a breakbulk shipment from Pemba were completed in the latter part of the quarter. Shipments of fines from Balama to Vidalia continued with a total of 4,000 tons shipped in Q3 in readiness for production in the U.S. The weighted average sales price to third-party customers for Q3 was $528 a ton CIF, which was lower compared to the June '23 quarter due to significantly higher fines sales volumes into the anode supply chain and lower prices during China's domestic production season despite the improved demand. Fine sales accounted for 87% of product sales to third-party customers in Q3 compared with around 20% in Q2. The weighted average shipping cost for external sales for Q3 was $78 a ton, which included deferred cost recognition for material in Chinese inventory. The average rate is expected to decrease in Q4 due to lower freight rates across our destinations, but particularly to China. As mentioned earlier, U.S. and European demand for diversified anode sourcing is accelerating to mitigate geopolitical risk and to reduce sole reliance on China as well as satisfying requirements of various government policy programs. This has resulted in the pipeline of potential ex-China natural graphite anode capital projects growing over the last 12 months. Commercial activity relating to long-term feed supply from 2024 onwards has increased, to underpin investment approvals for these projects. In Q3, Syrah announced multiyear offtake agreements with the Balama natural graphite supply into the U.S. with Westwater and Graphex. And we're engaged commercially with four additional projects globally for long-term natural graphite supply from Balama. And there is increasing interest from battery manufacturers and auto OEMs indirectly contracting sustainable upstream supply of ex-China natural graphite to direct through their anode processing partners. Syrah's medium-term natural graphite strategy will balance integrated consumption through Vidalia with an increasing proportion of sales volume ex-China and residual sale volumes to China. We'll move now to the Vidalia anode material project expansion on Slide 17 and 18. The Vidalia anode material project was at construction peak during Q3 and is nearing completion. Final piping and electrical construction on the critical path, commissioning already underway and a sequential production commencement through the three key areas of the plant planned for first production in this current December quarter. Given its first-of-a-kind nature outside of China, we're very pleased with how the project has progressed despite some minor delays and further capital escalation. Substantial progress in the 11,250 ton capacity projects integrated through spherical and no material production has seen all major mechanical installation complete readiness of the milling circuits and substantial progress towards completion of purification and furnace operations. Operational readiness for the facility has been a major focus with recruitment and training. The operating team is largely in place, transition to 24/7 shift operations through commissioning underway, time and planned restart of the Phase 1 qualification facility in laboratory progressing and preparation of operating, quality and maintenance systems to support commencement of production. This work is on track to continue to support the planned commissioning schedule and activities required prior to startup. There is a real sense of excitement at Vidalia, as the team prepares to produce anode material at scale and commence the final mass production qualification activities that will support the start of commercial sales in 2024. Planning for qualification activity is underway with customers, and we look forward to continuing the highly collaborative engagement we have had to date as both customers and U.S. government see the daily as critical to increasing anode supply chain capability and sourcing diversification. We've provided some more detailed pictures in the quarterly report document today of progress, and we'll release an updated video fly through to the website later this week. Syrah has revised the total installed capital cost estimate of the Vidalia initial expansion project to $198 million, representing a 13% increase from the FID estimate of $176 million. The escalation is primarily associated with unanticipated labor-intensive construction costs to maintain the project schedule and higher-than-expected costs for certain structural materials as previously disclosed, along with some minor mechanical and electrical corrections required as we near completion. At quarter end, US$161 million of project capital costs are being spent on the Vidalia project with further capital costs approved. Following completion of major contract sourcing and team recruitment, Syrah has revised the operating cost estimate for Vidalia to $3.64 per kilogram of anode material. Representing a 17% cost escalation from the FID estimate. In April 2023, Syrah announced the completion of the DFS, the expansion of Vidalia's production capacity 45,000 tons of anode material inclusive of the 11,250 initial facility to be commissioned this quarter. The DFS demonstrated capital efficiency, notwithstanding higher CapEx than previous estimates, OpEx economies of scale and estimated project economics were compelling across a realistic anode material price range. Syrah's progressing transition engineering and optimization activities permitting and other long lead procurement activities ahead of an FID proposal on the Vidalia further expansion project to be considered by the Syrah Board. Whilst the Company is progressing operational processes and customer commitment to underpin readiness for an FID as quickly as possible, we now expect to finalize FID during the first half of 2024, given the need to further progress funding options appropriate to the Company's overall financial position and equity market conditions. Detailed engineering, long lead items and other procurement and construction activities will follow the Syrah Board approved FID sequentially. I'll just hand back to Steve now to discuss the financial position. Steve?
Stephen Wells: Thanks, Shaun. Total cash at the Syrah Group at the end of the quarter was US$81 million compared to US$101 million at the end of the second quarter. Restricted cash at the end of the quarter was $31 million, and represents cash balances held at the Vidalia project in operating accounts, loan accounts, including funds from the first and second load draw downs and also reserve accounts. This includes cash amounts in loan reserve accounts, which are typical of a project finance loan as well as proceeds remaining from the second drawdown of $44 million from the DOE loan facility during the second quarter, which were not yet used for project costs. Following the end of the third quarter, the third and final tranche of the DOE loan was drawn to assist with funding the completion of construction. Unrestricted cash represents cash elsewhere in the group other than the Vidalia initial expansion project with uses of unrestricted cash, including funding Balama capital and working capital, corporate purposes, any additional capital requirements for the Vidalia initial expansion and growth initiatives, including the Vidalia further expansion. The unrestricted cash balance at the end of the quarter was $50 million, with operating cash outflows reflecting the pause in Balama operations in July and August and the fixed costs incurred during this period as well as the fixed and variable costs during the period of production, offset by natural graphite sales and receipts. And as a result, net working capital outflow at Balama was $6 million for the entire quarter. In addition, there was an increase in the Vidalia Initial Expansion project capital budget, resulting in a transfer of funds from unrestricted cash to the project and the restricted cash balances, but again, offset by proceeds from the issue of convertible note Series 5. Net cash outflows from investing activities across the group of $37 million was principally for the Vidalia Initial Expansion project as well as TSF expansion of Balama with cell 2 being completed, we do not anticipate further TSF spend over the remaining part of 2023 and possibly into 2024. Net cash inflows from financing activities of $32 million was associated with issue of the new convertible note. During the quarter, Syrah's shareholders approved the issue of a new Australian super convertible notes to fund the $10 million increase in capital costs for the initial expansion of Vidalia, and also to provide further liquidity for Balama requirements considering natural graphite marketing conditions, which remain uncertain. Syrah issued the second Australian $50 million series of the new convertible notes with Australian Super in August 2023. Syrah will issue the final $50 million series later this month, primarily to fund working capital associated with the start of production in Vidalia. We continue to progress funding processes with the U.S. Department of Energy and the U.S. Development Finance call on funding requirements for Vidalia further expansion and Balama, respectively. We have been invited to due diligence by the DOE for another loan to fund a significant portion of the Vidalia expansion project and sign a conditional loan commitment for up to US$150 million in debt financing for Balama from the U.S. Development Finance Corp. I'll now pass you back to Shaun to make some concluding remarks.
Shaun Verner: Thanks, Steve. So in conclusion today despite recent unanticipated market dynamics and China's dominant position in our markets currently, the potential of Syrah's position is tremendous considering the quality and progress of the Balama and Vidalia assets. In the near term, uncertainty in demand and challenges of Chinese natural graphite and artificial graphite behavior and surplus synthetic graphite anode capacity have frustrated our drive toward positive operating cash flow. But this market can change quickly, we are seeing improvement, and we are ready to respond. In addition, the significant opportunity of natural graphite anode demand in the ex-China markets beyond the near term is clear. Syrah is the only major ex-China player this far progressed, both upstream and downstream. I was at Balama again last week seeing that even in campaign mode, it is the highest quality natural graphite asset in the world and the one that has the best potential to supply into growing natural graphite demand in the battery anode market and to be at the low end of the cost curve at volume. Ex-China merchant anode capacity will grow from 2024, and we're well positioned to expand our fine sales to these quality customers to balance our sales to China with the commercial arrangements already in place and more being negotiated. We have fully implemented sensible operating mode changes in light of the prevailing market, and in the downstream at Vidalia, we're the only major ex-China integrated operator who is bringing product to market with an anode material offtake in place in long-term internal access to quality fines fee. The progress of Vidalia's current expansion and further expansion provides enormous opportunity and fundamentally differentiates Syrah from the competition based on realistic market assessments and development experience. Managing significant capital investments to set up the business for the longer term whilst navigating volatile market conditions at the same time is not easy; however, we see meaningful catalysts coming through for the rest of 2023 and into 2024 with the start of Vidalia's commercial operations, further long-term supply arrangements for both Vidalia and Balama, readying an FID on the next phase of downstream expansion, and also the potential for further improvement in natural graphite market conditions. Our team is intensely focused on succeeding and delivering on the Company's objectives, which will grow shareholder value. The opportunity for Syrah remains highly leveraged to the uptake in EVs and in lithium-ion battery cell production, particularly in the earlier stage ex-China market. We're certain that if these market fundamentals and the need for supply security play out as many expect, Syrah's market-leading ex-China position will deliver profitability, value and share price performance. And with that, we'll move on to Q&A.
Operator: Thank you. [Operator Instructions] Your first question today comes from Mark Fichera from Foster Stockbroking.
Mark Fichera: Just a question on the China market. You obviously mentioned that the market is improving, and we've seen signs with that with obviously yourselves during the quarter. What do you see in terms of the price obviously still weak? When do you expect to see a pickup in the price? Or how do you see that price sort of interacting with the improvement in markets, if you can just give some color on that?
Shaun Verner: Yes. So the first thing, just to reemphasize, is the high proportion of fine sales during the quarter, which had an impact on that weighted average basket price. I think the two key catalysts of course, for price improvement, ongoing increase in demand, and we're hoping to see the anode material supply chain and the spherical graphite processes continue to lift their capacity utilization and see further orders come through. But just as important will be the seasonal decline in natural graphite production in China, which tends to occur through October, November as they head into winter. So, it is an interesting point in time because it's the first increase in natural graphite consumption we've seen in some time. The underlying demand drivers of EV and battery cell growth look good. And we are heading into that production down season for natural graphite in China. So it is a good setup for some improvement in price.
Mark Fichera: And just one more from me. Just regarding Vidalia with the commissioning, I understand there's a qualification period when you ship the product to Tesla, I was just wondering, is that, how does that impact sort of the sales cycle? And is the qualification, do you expect that given the work you've done previously to be quite standard and expect that to be quite straightforward? Or is there any sort of lengthy period that we should be expecting before you receive any payments for the shipped product?
Shaun Verner: Yes. So the qualification process is really about the mass production or the production from the Phase 2 facility, meeting the specification and replicating the performance of the material that was produced from the Phase 1 qualification facility. We have obviously done a lot of work with our offtake partner and with others who are looking to purchase material from Vidalia. So, we understand those specifications well. We have produced to those requirements and know what we need to do from Phase 2. Ultimately, the timing of that will be well into 2024. And the primary reason for that is, the cycle testing requirements of customers. So, you received the majority of specification performance results relatively quickly. We're around quality, physical properties, electrochemical performance, but the cycle testing process is in the hands of the customer. And ultimately, for the Tesla contract to move to operational status, we need to be producing at a pro rata equivalent of 8,000 tons per annum, and we need to have moved through that cycle testing process with them. So we don't have a firm time line for that at the moment, something that we'll continue to work through with Tesla. But our view, of course, is that, this is IRA compliant material and it is in the interest of customers to get this into supply chain.
Mark Fichera: Right. So you would expect in the first quarter, say, 2024 to have, if all goes well on the qualification side that first revenue is coming in?
Shaun Verner: We can't put a time line on that, Mark. As I said, the cycle testing time line is in the hands of customers following the provision of on specification materials. So, we'll try to keep everyone updated around that as we learn more, but we're not in a position to put a time line on it at the moment. But what I would say is that, we have planned very carefully around the working capital requirements for Vidalia to ensure that we can navigate the period of qualification.
Operator: Thank you. [Operator Instructions] Our next question today comes from Peter Kormendy from Shaw and Partners. Please go ahead.
Peter Kormendy: It might be a question for Steve and just on financing. Steve, I appreciate you've got a lot of balls in the air at the moment, what with convertible notes DOE loans, DFC loans and DOE grants as well, which is currently being negotiated. But at the heart of it all, can you give us a feel for how hard you're prepared to push the balance sheet here?
Stephen Wells: Yes. Look, I think it's a reasonable question, Peter. Thanks for that. I think the key that we're focused on really is making opportunities available to us across a range of different sources,, and obviously, with our position of Balama and the focus on ex-China sources of supply. There's a strong focus from the U.S. government on supporting that. So, we continue to basically explore these opportunities. But at the same time, as you say, we've got to balance that out against the balance sheet position and what that does. I would say, obviously, that commercial bank debt and government debt is very different. Government sort of debt has got different set of conditions, which are generally more acceptable liked in commercial bank debt, particularly for a company of our maturity. So, we sort of weigh all that up against the balance sheet.
Shaun Verner: I think the other thing to say there, Peter, it just depends on how market conditions evolve and how quickly that both Balama sustainability from a cash flow perspective evolves and how quickly we want to or are able to progress Phase 3 given customer requirements. So, as you said at the start of the question, there are a lot of balls in the air, and it's difficult to give sort of a concrete answer at the moment given the uncertainty around some of the market conditions. But generation of the options has been really positive and the criticality of government funding, noting our importance to supply chain capability is something that we're pretty proud of.
Operator: Thank you. Your next question comes from Dim from UBS. Please go ahead.
Dim Ariyasinghe: Just two quick questions. So one on Vidalia. Noted on CapEx cost increase, could you just explain or maybe go into detail on the OpEx estimate increase as well like what's driving that place? And I'll come back with the second.
Shaun Verner: Yes. So I mean, the OpEx, obviously, we did the estimate back at the time of the DFS and we have to move through recruitment of labor and putting various supply contracts in place, and there's been an escalation in both of those areas and some resulting local and state tax increases around those areas as well. And I think with the supply contracts things like reagents in particular, prices for those had skyrocketed over the last two years. I think the team has done a very good job at trying to cap that exposure to higher prices in and we certainly have a view that there's a normalization underway, but it has impacted the view of OpEx at this point in time.
Dim Ariyasinghe: And then secondly, just on the emerging opportunities ex-China, the Graphex, Westwater. I'm not too sure, what detail you've given in terms of near-term volumes, but I'm just wondering maybe if you could talk around how we could potentially impact your percent fine sales into China as a result. So do you expect in getting more of your fines mix, which means that you could potentially sell a higher course mix into China? Am I thinking about that correctly? I guess it could have been a higher realized price for what's going into China, I guess.
Shaun Verner: Yes, I think probably the more important part of the answer to that question, Dim, is that it only takes a few of these operations to come to market to materially shift the direction of sales volumes from China to ex-China off-takers. And one of the things that's really important to understand with the ex-China stuff is that the security of supply and the audit-ability of where supply is coming from is really important to ex-China anode material buyers. Obviously, Balama material has been in the supply chain already. We have significant volume that we can allocate to ex-China customers, and we are setting up our contractual arrangements around that so that those players who achieved project progress most quickly, have the best access to options on volume. So, you can see a situation where all finds volume is either going to Vidalia or to ex-China players within a short number of years. Now what we do with the balance, we have other coarse like customers outside of China. Typically, the ex-China markets for coarse flake command higher prices than the China domestic market. And ultimately, we see that market behavior of Chinese buyers will be brought more into line with international norms as the balance of material moves away from China market from our perspective. So, we're really excited about how that opportunity is shaping up because the size of projects being contemplated is significant. And as I said during the presentation, we are at this stage, the only major supplier and certainly the only supplier that has material that's already been supply chain as a proven quality.
Dim Ariyasinghe: Yes. That's clear. I might sneak one more then, if that's okay. Just, have you guided to volumes for '24 through to '26 and then beyond for the China or ex-China? Or like how much of these offtakes could potentially be how much they could potentially be for your production?
Shaun Verner: Yes. I think, I mean, we've got a slide in the back of the deck where we show a bit of a split between integrated consumption for Vidalia, ex-China potential consumption and then sales to China. I think the most important thing to understand there is that the growth in potential capacity ex-China could well exceed what we can supply. So yes, just have a look at that wheel split in the back of today's deck.
Operator: As there are no further questions at this time, I'll now hand back to Mr. Verner for any closing remarks.
Shaun Verner: Thanks very much. We appreciate the attendance on the call today. And as always, if there are further questions, we are more than happy to address them through Viren and the Investor Relations team. Thank you very much.
Operator: That does conclude our conference for today. Thank you for participating. You may now disconnect.